Operator: Good morning, and welcome to the American Strategic Investment Company Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session [Operator Instructions]. I would now like to turn the conference over to Curtis Parker, Senior Vice President. Please go ahead.
Curtis Parker: Thank you. Good morning, everyone, and thank you for joining us for our second quarter 2023 earnings call. This event is being webcast in the Investor Relations section of our website. Joining me today on the call to discuss the quarter's results are Michael Weil, American Strategic Investment Company's Chief Executive Officer; and Chris Masterson, the Chief Financial Officer. The following information contains forward-looking statements, which are subject to risks and uncertainties. Should one or more of these risks or uncertainties materialize, actual results may differ materially from those expressed or implied by the forward-looking statements. We refer all of you to our SEC filings, including the Form 10-K filed for the year ended December 31, 2022, filed on March 16, 2023, in all subsequent SEC filings for a more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during this conference call are only made as of the date of this call. As stated in our SEC filings, the company disclaims any intent or obligation to update or revise these forward-looking statements, except as required by law. Also during today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating the company's financial performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our earnings release, which is posted on our website at www.americanstrategicinvestment.com. Please also refer to our earnings release for more detailed information about what we consider to be implied investment-grade tenants, a term we will use throughout today's call. I will now turn the call over to Michael Weil, Chief Executive Officer. Please go ahead, Mike.
Michael Weil: Thanks, Curtis. Good morning and thank you all for joining us today. The second quarter was extremely productive as our ongoing focus on leasing activity throughout our portfolio continued to produce positive results. We signed four new leases during the second quarter that totaled over 26,000 square feet that will generate $1.5 million of straight-line rent. As a result, we grew in-place occupancy to 85.1% from 84% at the end of the prior quarter, a 110 basis point increase in just three months. Our portfolio weighted average remaining lease term was 6.8 years as over 40% of our leases extend beyond the year 2030, which we believe increases the stability of the real estate we own. Our top 10 tenants, 79%, are what we consider to be investment grade, showing the quality of our tenant roster. These tenants had a remaining lease term of 9.1 years, providing further stability in our portfolio. We executed two leases during the second quarter that I'd like to highlight because we believe they illustrate the strength of our leasing platform. The first is a lease expansion with an existing tenant at 9 Times Square. The expansion doubled this tenant's occupancy in the building to over 17,500 feet. Accordingly, we doubled the annual straight-line rent from this tenant by $500,000 to $1 million. There are six years of lease term on the expansion, which matches the expiration date of the original lease. Second, at 8713 Fifth Avenue in Brooklyn, we executed a 10-year lease renewal with one of the largest health care systems in the Northeast. From a financial standpoint, this transaction maintained the current annual straight-line rent and required no leasing commission. We'll maintain our proactive leasing approach as our portfolio management expertise and strong tenant relationships have led to increased occupancy for two quarters in a row and our highest occupancy rate since the fourth quarter of 2020. Our asset management approach contributes to the long-term strength of our $834 million, 1.2 million square foot portfolio of New York City real estate. Our portfolio consists of eight office and retail condominiums all located in New York City, primarily in Manhattan. We've built a pure-play New York City portfolio featuring a number of large investment-grade tenants, including Weill Cornell Medical, CVS and Government Agencies. Across our portfolio, 37% of our tenant base operates in resilient industries, including government agencies and financial firms. Touching on the quarterly results, the efforts of our asset and property management teams resulted in adjusted EBITDA more than doubling and cash NOI growth of 7.7% compared to the prior year. The increases were achieved through a reduction in G&A and operating expenses, coupled with our ongoing leasing success. Compared to the first quarter, adjusted EBITDA grew by almost 47% and core FFO increased by $0.54 per share. On the balance sheet, our debt was 100% fixed rate, including debt that is swapped to fixed rate with an attractive weighted average effective interest rate of 4.4% and a weighted average maturity of 3.7 years. Our financing is very attractive in the current lending environment and we're pleased that we have no maturities this year and limited maturities through 2025, insulating us from the refinancing risk that other New York City building owners have been experiencing. Our net leverage was a modest 41%. We're committed to strengthening our existing portfolio of real estate assets as we explore additional income-generating investments. In recent years, we've taken advantage of opportunities to invest in the long-term future of our portfolio, and we believe that expanding the scope of our assets is the next step forward for the company. With that, I'll turn it over to Chris Masterson to go over the second quarter results. Chris?
Christopher Masterson: Thanks, Mike. Second quarter 2023 revenue was $15.8 million compared to $16.2 million in the second quarter of 2022 and up incrementally from $15.5 million in the first quarter 2023, as newly commenced leases began to pay rent. The company's second quarter GAAP net loss attributable to shareholders was $10.9 million compared to a net loss of $13 million in the second quarter of 2022. For the second quarter [Technical Difficulty] were 219% to $3 million compared to $0.9 million in 2022. Cash net operating income increased by $0.6 million or 7.7% to $7.5 million from $6.9 million in the second quarter of 2022. Our FFO attributable to common stockholders was a negative $4 million. Core FFO improved to negative $1.7 million or negative $0.74 per share. As always, a reconciliation of GAAP net income to non-GAAP measures can be found in our earnings release and quarterly supplemental and on our website. At quarter end, we had a relatively conservative balance sheet based on our net leverage of 41%, a weighted average interest rate of 4.4% and almost four years of weighted average debt maturity. We have limited debt maturities through 2025 and none this year. As we have previously discussed, all of our debt is fixed rate or swapped to fixed rate after we locked in interest rates while they are broadly at historic lows. I'll turn the call back to Mike for some closing remarks.
Michael Weil: Thanks, Chris. We executed on our leasing pipeline last quarter, driving occupancy up 1.1% to 85.1% and adding $1.5 million in annualized straight-line rent. Our new leasing and lower operating expenses resulted in quarter-over-quarter growth in adjusted EBITDA and cash NOI. We believe the long-term lease extensions and expansions we signed this quarter signal our tenants' commitments to the properties we own in New York City, and we remain focused on maximizing the value of these properties through our continued proactive asset management strategy. In May, we announced that upon the completion of a proposed merger between Global Net Lease and the necessity retail REIT, Chris and I would resign our positions as CFO and CEO of ASIC. As such, this may be the last time that Chris and I get to discuss the company's results with you. We'd like to thank you for your insight, support and ownership of ASIC over the years, and we take great comfort leaving the company in the hands of Michael Anderson and Joe Marnikovic, who we've recommended to the Board for the positions of CEO and CFO, respectively. Michael and Joe have both been long-time employees of our adviser, AR Global. Michael started with us in 2013 and has risen to become AR Global's General Counsel. Joe joined us in 2017 and currently serves as AR Global's CFO. I believe I speak for Michael, Joe and the Board when I say that we're excited about the opportunities ahead of us. Thank you for joining us today. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Bryan Maher of B. Riley Securities. Your line is open.
Bryan Maher: Thank you and good morning. And I guess we're going to miss these calls with you, Michael, on NYC.
Michael Weil: Well, Bryan, it's been a pleasure, and we always appreciate your participation. So thank you.
Bryan Maher: Okay. Moving on to a couple of questions I had this morning. Given the stress that's going on with WeWork, is there anything there that can, in your view, kind of help or hurt NYC, I know that you have a modest shared working platform? But any thoughts on whether or not people might abandon WeWork and maybe take up some of your space where you have vacancy at 1140 or at 9 Times Square?
Michael Weil: Yes. I think that, that is a possibility that not only are we thinking about, but I think all New York landlords are thinking about. WeWork is a bit of a phenomenon in my eyes and always has been. WeWork build themselves as something new and different, and they tried to convince everybody that they were some kind of technology company when really they were a traditional real estate short-term leasing platform, like we've seen Regis operate for decades. So the name WeWork, I think, means more than what their business really ever was. And we will continue to see short-term need for space and these types of platforms, whether it's what we operate in our building at 1140 Avenue of the Americas or throughout New York and the rest of the country will continue to have demand and provide space for people.
Bryan Maher: Okay. And then as it relates to the -- there are some changes in the New York City office dynamics with return to office mandates, et cetera. Are you seeing anything as a result of that as it relates to office cap rates or transaction activity?
Michael Weil: No, not yet. I think that we are going through the tunnel right now, not us as a company, but New York as a market. I think a number of landlords are facing debt maturities and we're starting to hear the rumblings of either forced sales or defaults with lenders. And it reminds me back to 2009, I think the bank's position in a number of cases, especially for assets that are performing fairly well is we'll go back to the kind of the -- delay the outcome. I don't think the banks are going to be very aggressive in foreclosing on properties. Now, I relate it back to ASIC. And as Chris mentioned in his comments, our greatest benefit is we have about four years of average remaining debt maturity, and we have fixed rate debt. So we're well positioned. You saw this quarter that we were really able to start putting some new tenants in expanding and extending some existing tenants, Chris Chao and the asset management team are active in the market. And frankly, we all know summertime in New York is probably the toughest period of the year outside of the Christmas and New Year holidays to really drive leasing. So we were really happy to increase occupancy over a full point in the quarter and looking forward to continuing that in the next two quarters.
Bryan Maher: Maybe following on from that a little bit. Where are you thinking that ASIC is going to see opportunities? I know you expanded the picture as to what you would acquire and where you would acquire it. But as you look at the landscape now, is that more parking, is it more hospitality, is the next thing the company owns outside of New York. Can you give us any color there?
Michael Weil: I can't give you a lot of color right now because we haven't announced anything and nor have we made any decisions. But we continue to look at some interesting opportunities in the operating business side. And as we continue to grow occupancy and increase NOI, we'll continue to position the company to be able to make those types of investment decisions. They very well may be outside of New York City as I think that will diversify the portfolio. We have the strong foundation of the properties that we own and the performance continues to kick up and improve, so stay tuned. I think that's something that Michael and Joe are going to be able to really drive, that is one of Joe's core background experiences in the operating business side as well. And Michael, as you know, has been with the company for over 10 years and has been very involved in more than just the general counsel seat. So their experience is going to be a smooth transition from Chris and me, and they will continue to evaluate those opportunities.
Bryan Maher: Okay. Thanks. And just last for me, and I don't know if Ori or Chris Chao on the line, but with your leasing pipeline that you're seeing out there, can you give us any color as to where you think occupancy might gravitate towards over the next two to four quarters?
Michael Weil: Well, I'm going to jump in. I know you asked that of Chris Chao, and he is on the line. But as you know, we haven't given guidance, so I don't want to put Chris in the position of saying something that maybe we shouldn't say on a call like this. But I think that you've seen over the last couple of quarters, a pretty steady uptick in occupancy. And it's going to be a slow but steady climb back to where we were pre-COVID. And the buildings -- the three main buildings in the portfolio, 123 William Street continues to operate at a very high occupancy level. Our continued focus from an asset management standpoint is 1140 Avenue of the Americas and 9 Times Square, where we have put a lot of our focus and Chris is driving the brokerage teams at those buildings. We are seeing some tours, activities picking up, I think September will be an important month for driving that activity. And we certainly believe that this is a portfolio that, over time, will be above 90% occupancy.
Bryan Maher: Great. That's all for me, and good luck with the new merged RTL and G&L.
Michael Weil: Thank you, Bryan.
Operator: There are no further questions at this time. I would now like to turn the call back over to the management team for closing remarks.
Michael Weil: All right. Well, again, Chris and I wanted to thank everybody, as we said in our comments. We are very excited for the transition to Michael and Joe. We've got a great team embedded in the ASIC platform, and we'll continue to drive through and back to our pre-COVID levels as well as bringing some pretty exciting opportunities to the company and shareholders. So thank you all again for your time. And Michael and Joe, we wish you the best of luck, and we're excited to see what the direction that you take the company in. Thank you, everybody.
Operator: This concludes today's conference call. You may now disconnect.